Operator: Good morning, my name is Sara and I will be your conference operator today. At this time I would like to welcome everyone to the NuStar Energy L.P and NuStar GP Holdings LLC second quarter 2011 earnings conference. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be question-and-answer session. (Operator Instructions) Thank you, Mr. Russell you may begin your conference.
Chris Russell: Good morning, everyone, and welcome to our conference call to discuss NuStar Energy L.P. and NuStar GP Holdings, LLC's second quarter 2011 earnings results. With me today is Curt Anastasio, CEO and President of NuStar Energy L.P. and NuStar GP Holdings, LLC; Steve Blank, our CFO; and other members of our management team. Before we get started, we would like to remind you that during the course of this call, NuStar management will make statements about our current views concerning the future performance of NuStar that are forward-looking statements within the meaning and the federal securities laws. These statements are subject to the various uncertainties and assumptions described in our filings with the Securities and Exchange Commission. And will not be updated to conform to actual results or revised expectations. During the course of this call, we will also make reference to certain non-GAAP financial measures. Our non-GAAP financial measures should not be considered as alternative to GAAP measures on accordance to GAAP measures excuse me. Reconciliations of these non-GAAP financial measures to U.S. GAAP maybe found either in our earnings press release or on our website. Now, let me turn the call over to Curt.
Curt Anastasio: Good morning and thanks for joining us. NuStar just completed a very busy and profitable second quarter. We successfully integrated our April 2011 San Antonio refinery acquisition, completed in Eagle Ford Shale crude oil pipeline connection project for Koch pipeline and set a second quarter record in terms of EBITDA. Starting with our second quarter 2011 financial results NuStar Energy’s distributable cash flow applicable to limited partners and EBITDA were both higher than the second quarter of 2010. NuStar Energy generated $160 million of EBITDA in the second quarter higher than the $157 million earned in the second quarter of last year. It should be noted that our second quarter 2010 results included about $14 million of gains related to property insurance proceeds received due to damage cost to our Texas City terminal by Hurricane Ike in the third quarter of 2008. We did not realize any similar type gains in 2011. Our storage segment earned $65 million of EBITDA, $3 million higher than the second quarter of 2010. Higher storage rates on our existing storage contracts, increased demand for storage services by new and existing customers and the fourth quarter 2010 completion of the St. Eustatius terminal reconfiguration project each had a positive effect on this segment’s EBITDA. These items were partially offset by about $4 million of one-time non-cash write-off. Transportation segment EBITDA of $43 million was as expected lower than the $47 million earned in the second quarter of last year. Lower pipeline revenues as a result of the July 1, 2010 negative tariff adjustment and reduced throughput contributed to the decrease. Turn around in unplanned maintenance activity at one of our customer’s refineries and the impact of competitive supply economics negatively impacted throughputs of our crude oil pipeline system. Late in June we completed the work associated with the pipeline connection and capacity lease agreement we entered into with Koch in October of 2010. Under that agreement, NuStar reactivated a previously idled pipeline in South Texas that is now being used Eagle Ford Shale crude oil production to Corpus Christi Texas refineries and terminals. We expect our crude oil pipeline system throughputs to increase about 30,000 barrels a day as a result of this project. On our refined product pipeline system, market conditions continue to make it more favorable for some of our customers to export refined products especially diesel then to transport them to Houston on our core Corpus to Houston pipeline. The asphalt and fuels marketing segment generated $78 million of EBITDA during the quarter about $25 million higher than the $53 million of EBITDA earned in the second quarter of last year. The asphalt operations portion of the asphalt and fuels marketing segment earned $55 million in EBITDA during the quarter. These results are the highest ever second quarter EBITDA for the asphalt portion of this segment and $15 million higher than last year. Strong winter field economics, our ability to pass along price increases and a tight asphalt supply early in the quarter more than offset lower wholesale asphalt sales volumes. Our new San Antonio refinery contributed $4 million of EBITDA during the quarter within the $3 million to $5 million range we initially anticipated. Crude run rates at the refinery averaged around 11,200 barrels per day slightly lower than the 11,500 we had anticipated. Minor operating issues required us to reduce charge rates for a few days during the quarter. However, higher than expected crack spreads on our unhedged products partially offset the lower charge rates. Fuels marketing operations EBITDA increased to $19 million, $6 million higher than in the same quarter of last year. Higher margins and sales volumes in our bunkering and heavy fuels businesses resulted in the higher results. Taking a look at our second quarter 2011 corporate expenses G&A expenses were $26 million, $4 million higher than last year. Administrative costs associated with our 2011 acquisition activity and increased compensation expense accounted for the large portion of this increase. Interest expense for the quarter was $20.6 million up $1.7 million from last year, mainly due to our issuance of $450 million or 4.8% senior notes in August of 2010. Our June 30, 2011 debt balance was $2.4 billion, that includes about $140 million of unspent (Inaudible) financing proceeds been held in escrow by the trustee. On June 30, our debt-to-EBITDA ratio was 4.3 times, we expect the ratio to be closer to 4.0 by the end of the year. NuStar Energy’s distributed cash flow available to the limited partners of $119 million for the second quarter was $12 million higher than second quarter 2010. Increased EBITDA lower mark-to-market adjustments relating to hedging and a $5 million non-cash adjustments more than offset higher interest expense, income tax expense and reliability capital spending. Given our strong results, NuStar Energy’s board of directors declared a distribution increase to a dollar nine and a half cents per unit, which is $0.03 per unit or about 3% higher than the second quarter 2010 distributions of a dollar six and a half per unit and $0.02 per unit or about 2% higher than the first quarter of this year, which distribution was a dollar seven and a half cents per unit. The distribution will be paid on August 12. Distributable cash flow available to limited covered the distribution to the limited partners by 1.69 times for the second quarter of 2011. The board of directors at NuStar GP Holdings declared a second quarter distribution of forty nine and a half cents per unit, which is three and a half cents or about 7.6% higher than the second quarter 2010 distribution of $0.46 and a penny and a half per unit or 3.1% higher than the first quarter 2011 distribution of $0.48. The NuStar GP Holdings distribution will be paid on August 16. As we move into the last half of this year, we are pleased to announce that NuStar and subsidiaries of EOG Resources have just signed definitive agreements for the construction of a 70,000 barrels per day unit train offloading facility at our St. James Louisiana terminal. Approximately 360,000 barrels of tankage will also be constructed in conjunction with this project. The project will give our customers access to production from the Bakken, Eagle Ford and other developing shale plays the opportunity to appoint additional crews in order to supply the LOS market. NuStar’s estimated share of the construction cost are in the range of $30 million to $40 million and we expect the project to be in operation in the second quarter of 2012. Next, we are also pleased to announce that NuStar and Valero Energy have entered into two throughput and deficiency agreements relating to Eagle Ford crude oil shale in South Texas. This deal involves several of our existing pipeline access and the construction of a new pipeline. And we expect that a portion of the project should come online as early as the fourth quarter of this year. Further details will be provided in a mutually agreed press release with Valero Energy, which we expect to issue sometime next week. In addition to the Valero project we are actively in discussion with other companies regarding projects relating to Eagle Ford shale, Barnet Shale and Granite Wash tight-sands formation. We are confident we will be able to identify additional projects that will allow us to more fully utilize some of our existing pipeline and terminal assets. With regard to earnings in the last half of 2011, third quarter EBITDA should be in the range of $105 million to $115 million while our earnings per unit applicable to limited partners should be in the range of $0.50 to $0.70 per unit. For the full year 2011, we expect NuStar’s EBITDA to be higher than it was in 2010. Storage segment’s 2011 EBITDA should increase by $15 million to $25 million due to the St. Eustatius terminal internal growth project completed last year and the 3.2 million barrel tank expansion project at our St. James terminal, which is expected to be completed in this third quarter. EBITDA in our transportation segment is projected to be $10 million to $20 million lower for this year. The July 1, 2011 (Inaudible) tariff increase of 6.88% will be more than offset by lower throughput volume. Even though throughputs on our pipeline segments should increase in the second half of 2011 as a result of the previously mentioned project for Koch full years throughput are projected to be lower than last year. Higher customer refinery turn around activity and the changing marketing conditions we refer to should contribute to the reduced throughput. We believe we could see some upside to the guidance range for both our storage and our pipeline transportation segments through the remainder of this year. A couple of our customers maybe deferring fourth quarter turnarounds into 2012. And we are currently exploring some income enhancement measures in both of those segments. 2011 EBITDA in our Asphalt and fuels marketing segment should be higher than the $111 million earned last year. Asphalts operations 2011 EBITDA should be lower than 2010. Our asphalts sales price is currently are not keeping phase with arising feedstock cost putting downward pressure on our gross margins. Today, (Inaudible) asphalt demand, it’s a bit lower than 2010’s weak demand level. We expect demand to continue to be relatively tapped for the remainder of the year putting additional pressure on asphalt margins. EBITDA from the San Antonio refinery and higher 2011 EBITDA in our fuels marketing operations should more than offset the reduced earnings in our asphalt operations. Our fuels marketing operation should benefit from the widespread between WTI and Brent as well as a full year’s worth of EBITDA from the new U.S. heavy fuels and bunker fuels markets, we entered in 2010. Reliability CapEx for 2011 should total $55 million to $60 million, while 2011 strategic CapEx should fall in the range of $365 million to $375 million. Our strategic capital projections continued to increase as we identify more transportation segment opportunities around the various shale and tight-sands play. After concluding our two acquisitions from earlier this year, total 2011 capital spending related to strategic capital and acquisitions should be around $475 million. With our current strategic capital program and our recent acquisitions, the future continues to look bright for NuStar Energy L.P. and NuStar GP Holdings LLC. So, at this time let me turn it over to the operator, so we can open up the call to Q&A. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Darren Horowitz with Raymond James.
Darren Horowitz – Raymond James: Good morning guys.
Curt Anastasio: Good morning.
Darren Horowitz – Raymond James: Curt, couple of quick questions. First, as it relates to the asphalt and fuels marketing, you had mentioned that you expect the EBITDA to be higher on a year-over-year basis. But in this release it doesn’t look like you quantified the rate of change relative to what you had quantified previously like in the first quarter call. So I’m curious is the expectation for it still to be roughly $35 million to $45 million higher. And then secondly, as it relates just to asphalt, can you quantify the pressure that you are experiencing on market due to raising feedstock cost?
Curt Anastasio: Asphalt is going to be, in that segment, asphalt is going to be lower and the fuels marketing piece is going to be higher. And asphalt will be lower than we previously guided. The reason we didn’t make it specific for that segment, as this really is a rapidly evolving situation and anything we tell you on that I think would be wrong a week from now. But what we intend to do and it really does relate to the run up in the crude cost and are not being able to maintain the margin at our current pricing levels given the relatively (Inaudible) demand that’s out there in our market. So what we intend to do is update it during the third quarter as we get further into the third quarter and get a much better view and not just the third but the full year outlook because when we are in this situation last year, we put out a number that turned out to be way off on where we ended up much lower than where we ended up. So having learn from experience rather than give you something that’s bound to be off in this very volatile market, I mean you know what’s going on, just look at the crude oil market every day, the U.S. economy and all of the terminal going on. There is just so much volatility and so much of uncertainty; we want to get a little further into the third quarter to give you a reliable guidance. But as I said we still see that segment being up year-over-year.
Darren Horowitz – Raymond James: Can you get a little bit deeper as it relates to Savannah and Paulsboro have there been any changes to capacity utilization or yields by specific product?
Curt Anastasio: Changes since, well, capacity utilization is still running relatively low. And it’s been pretty constant during the quarter. But it’s lower than we had planned at the out phase for sure. The product yields it’s about the same in terms of the proportion of asphalt versus intermediate products. We did well on the intermediates the first half of the year and that was part of the segment having a record second quarter, it had a very good first half of the year. But we are still running at low utilization rates because that’s what the market calls for it. Paul Brattlof is here do you want to comment for this one.
Paul Brattlof: Yeah, I just want to say what we did this year is we moved our turnaround from in the December, January time to April when prices are typically higher. And so that’s why our second quarter is considerably down versus last year on utilization rate. But it’s really worked out well for us because we backed up some higher price crude prices or production during that second quarter. So it helped us but it looks like it’s down but there is still, we are down on just comparative basis slightly but it looks more exaggerated because of the turnaround.
Darren Horowitz – Raymond James: Sure, and then Curt last question for me. As it relates to the Valero announcement, can you give us a little bit more color on that project scale and scope importantly if you were to.
Curt Anastasio: It’s a significant yield for NuStar.
Darren Horowitz – Raymond James: Right.
Curt Anastasio: And it does a lot from Valero too in lowering their crude cost but I’ll let them comment on that aspect of it. My only hesitancy is I’m actually keeping back a little bit of positive news on this one. My only hesitancy is we agree with them we have a mutually agreed press release, which would spell out all the details. And their management and ours hasn’t signed off on exactly what that press release is going to say, but it’s a big project, it involves, for us it is, it involves several of our existing South Texas pipelines, it involves construction of a new pipeline to serve them, primarily them. And so I think that you know I do expect to you to see that release one day next week, it shouldn’t take that long to put this together. But I think you will be pleased when you see the details, we certainly are.
Darren Horowitz – Raymond James: Okay, thanks Curt.
Operator: Your next question comes from the line of Yves Siegel with Credit Suisse.
Yves Siegel – Credit Suisse: Good morning, everybody.
Curt Anastasio: Hi Yves.
Yves Siegel – Credit Suisse: Curt, if I could, could you just, not trying to take this underway from Valero on the project but could you sort of break down again the growth CapEx spending for 2011, I think you said $365 million to $375 million. And perhaps you could say how much has been spent already and maybe give us a look into what you are thinking for 2012?
Curt Anastasio: Yeah, just to repeat what I said because I know I might have gone fast but what I said was strategic capital for 2011 would be in the range of $365 to $375 then if you just layer in we did about $100 million of acquisition. So that’s what gets us to a $475 total for 2011 and then Chris and Steve have a table in front of them.
Steve Blank: In year to date Yves reliability is 26 and strategic was 136 add 100 for acquisitions to that 136 gets to 236 for strategic through June. Okay.
Yves Siegel – Credit Suisse: Okay.
Steve Blank: And then the total given at range on strategic and our estimate for reliability plus the acquisitions total CapEx strategic and reliability would be about 530 for the year.
Yves Siegel – Credit Suisse: And then how should I think about the revenue generating capacity now on – let me start again. When will the, that growth CapEx start generating cash flow in other words how much of the projects have been completed? How much of those are projects are running into next year? And when you think about EOG and Valero, when will the bulk of that spending take place?
Curt Anastasio: The guidance we’ve given like on EBITDA is reflective of what we expect to have in this year but to give through the granularity into the sort of the spread of the spending and the income we can get that too.
Steve Blank: Yeah, just call me, Yves and we can talk about it at the.
Curt Anastasio: And I think look we got the Valero deal is pretty big and these other things literally have just happened in the last day or two EOG and being in the position to actually say something because we now have agreements end up. So I think we have got a couple of upcoming conferences, MLP [ph] conferences around that we will file an 8-K with the presentation and by then we should be able to give a spread of the CapEx and the revenue or EBITDA generated on, so most of its going to be 2012.
Steve Blank: Most of the next year both the CapEx and Eagle Ford stuff and the EBITDA.
Yves Siegel – Credit Suisse: Okay then, I’ll leave it with, the favorite question is, what kind of returns would you be expecting and we think about these projects, how long have the contractual commitments typically going to be when you enter into these agreements?
Curt Anastasio: That’s typically five years and we also as you know, I mean we try to evaluate one of these assets at longer term value too before we invest in them. But these are all very good projects, I know we’ve typically told you that that we do organic growth at around say at seven times EBITDA and these are going to be, that or better.
Yves Siegel – Credit Suisse: Okay.
Curt Anastasio: Not worse than that, will be that or better.
Yves Siegel – Credit Suisse: Okay. So the key takeaway is stay tuned?
Curt Anastasio: Well, like you already know about the Koch we’ve got and oil is flowing and we told you when it’s going to do for us this year that was on our first little step. We signed these next two deal, Valero, you’re going to get a full accounting of it next week I expect in the press release, unless there is some management delay on clearing this press release. That one will have all of the, chapter inverse on in the press release that I expect to be issued next week and really the same thing with EOG, I mean EOG, I think we can get into a bit more detail on that, Danny, do you want to talk a little bit more about.
Danny Oliver: We do have that one Yves this is, it’s kind of the same as what Curt was eluding to as Valero though, management on both sides wants to issue the joint press release with the details, this agreement was signed just this morning. So we don’t have that out, but those, all those details will be forthcoming, I’m sure next week. But this is all a part of our overall Eagle Ford strategy and supports other deals that we have previously announced on, our LOIs with Texstar and Velocity, so it’s all part of that same strategy.
Yves Siegel – Credit Suisse: Great. Alright. Good luck guys. Thank you very much.
Curt Anastasio: You’ll have a lot more on this next week.
Operator: Your next question comes from the line of John Tysseland with Citi Group.
John Tysseland – Citi Group: Hi guys, I think you just touched on your last point, but I was going to ask if the Valero project as you proceed the Texstar and Velocity project that you’ve already announced is it part of those projects, is it additive to that? How should we think about that?
Curt Anastasio: No, it doesn’t super proceeding, I mean the Texstar and the Velocity will standalone once we get to the finish line on those, so it’s additive.
John Tysseland – Citi Group: So are those still moving at this point?
Curt Anastasio: Yes, yes.
John Tysseland – Citi Group: Okay. And then last question just on the and you might have touched on this I might have missed this I jumped on late but the San Antonio refinery, how is that performing in line with your previous projections, are you still looking for 2011 EBITDA of $18 million to $22 million?
Curt Anastasio: Yeah, it’s doing exactly what we saw, I mean we came in at $4 million, it’s what I just treat, $4 million which was when in the guidance of three to five, so it’s performing exactly as we thought. So we are not changing the guidance we’ve given on that as of now.
John Tysseland – Citi Group: And are the hedges acting about how you thought that would act in terms of protecting your cash flows in your margins those are kind of in line with what you’re expecting?
Curt Anastasio: Yes, yes. That’s working exactly as we expected.
John Tysseland – Citi Group: Great. Thanks guys.
Danny Oliver: In fact the cracks were actually a bit better, so on the un-hedged portion we made a bit more than otherwise if we had.
Curt Anastasio: Yeah.
Operator: Your next question comes from the line of Brian Zarahn with Barclays.
Brian Zarahn – Barclays: Good morning.
Curt Anastasio: Good morning.
Brian Zarahn – Barclays: Can you give us an update on the progress that your Turkey JV, is it performing in line with your expectations? Any update on your process.
Curt Anastasio: Well, it is spotted [ph] in April and as I said at the time, this is really a project, I mean if they, the success of that joint ventures is going to entirely depend on the expansion project that’s on the drawing boards, that is not done yet. And I’m getting a completely different mix of business, when we bought this thing, relatively small local operators supplying his service station. So we didn’t buy than what it has done historically. We provided on what we thought we could do with it over the next year or two. So it’s still early days and so, that’s going to be the whole story, I mean when we have the new book of business signed out and we got the expansion rolling. Then I’m going to talk to you about that, right now there is really nothing to say on it, that’s new. So just stay tuned, that is one where I would say, stay tuned.
Brian Zarahn – Barclays: Okay. And then in terms of international storage, are you, what are you seeing in terms of acquisition opportunities and the U.S market seems very crowded in terms of a lot of competition for acquisition, so how are things looking outside the U.S.?
Curt Anastasio: Now we are looking at with both international and U.S. deals. I mean, you’re right, there’s a lot of the U.S. deals to come up, there is more crowd in than ever, you got more NPLs [ph] than ever and some of the deals that traded at, very, I would say lofty prices. But that doesn’t mean there are deals to be done, I mean we’ve done a couple just this year, both internationally and in the U.S., so in the last year. So I think that we’re going to continue looking both places, but definitely we’ve got, we’re in discussions on an international storage deal right now, we’ll just see if that gets anywhere.
Brian Zarahn – Barclays: Thanks Curt.
Curt Anastasio: Okay.
Operator: Your next question comes from the line of Selman Akyol with Stifel Nicolaus.
Selman Akyol – Stifel Nicolaus: Thank you. Good morning.
Curt Anastasio: Good morning.
Selman Akyol – Stifel Nicolaus: Just as it relates to the operating expenses on the storage segment, that seem to be a fairly strong compared to the first quarter of this year, anything going on there?
Curt Anastasio: We had some right off with that impacted that segment, but you guys want to comment further on it? Steve or?
Steve Blank: The majority of the write offs that Curt has provided in those segment and the rest of it was just kind of what was (Inaudible) category that same that we wrap in that segment.
Selman Akyol – Stifel Nicolaus: Alright. And then also on the transportation side and I heard your guidance forward with the Koch pipeline coming on, you’re going to pick up 30,000 barrels a day, your volume is expected to go up in the second half of the year. But if you were to exclude that, how do you describe your base business?
Curt Anastasio: Volumes are down versus last year, for the reasons we get, so is the revenue and so is the profit. We had, I mentioned the reasons why with, we’ve loss some volume because of market conditions, we had refinery turnarounds, it is this time around. But what we’ve been trying to tell you there is, there’s really going to, you are going to see a substantial uptick in our pipeline transportation segments as we move forward, we get out of 2011 and we get into 2012 and we start seeing some of these oil shale plays, fill up pipelines that are underutilized now and also we have some new construction going on in that segment. So we’re a little bit in the transition year on when it has been really for the, 10 years we’ve been a public company, really are I would say our most stable segment. It had very little growth associated with it, but it’s really been pretty going stable for about 10 years. Now we’re about to see some growth in it. So and it’s really all because of the oil shale development. But this year, we are kind of waiting for that to benefit us if you will, while we spend money to get those projects in place for next year.
Selman Akyol – Stifel Nicolaus: Okay, great. And then last question. In terms of just the storage market, can you talk about how rates are going and what you’re seeing there on a go forward basis as you would see renewals?
Curt Anastasio: Yeah, we got some benefits for the renewals, again I’m going to let Danny jump in, but obviously my little thing I would say about this is, it’s just so location dependant and if you look at where we are putting money into growth, St. Eustatius and a few other places. These are the ones with their strongest customers and to be. And so Danny, do you want comment further on how what we’re seeing on renewals?
Danny Oliver: Sure, we’re still, in terms of demand, we’re still basically fully utilized at the $21 million increase in EBITDA from year-to-date, 2011 versus 2010. About $6 million of that came from right escalations on doing contracts, about $7 million from new projects that have come online this year or at the end of last year St. Eustatius and Texas City. About $6 million from our acquisitions and Mobile Alabama and Turkey and I think we got a little bit a help from foreign exchange rates too, but small amount.
Selman Akyol – Stifel Nicolaus: Thank you very much. I appreciate it the clarity.
Danny Oliver: You’re welcome.
Operator: (Operator Instructions) There are no further questions at this time.
Chris Russell: Thank you, operator. I would like to thank everybody again for joining us on the call today. If you have any additional questions, please feel free to call me, NuStar Investor Relation. Thank you.